Alex Ng: Good afternoon and welcome to Stolt-Nielsen’s Fourth Quarter Results. As always, the earnings release and related materials are available on our website. We will also be recording this session and it will be available from tomorrow. Included in this presentation are various forward-looking statements. Such forward-looking statements are subject to risks and uncertainties. I will refer you to our latest annual report for further details. I am Alex Ng, Vice President of Corporate Development and Strategy and will be facilitating our Q&A session at the end of the presentation. During the Q&A, we will first take questions on the phone, then the room and then via the webcast. To ask a question online simply type into the bottom right hand side of the screen. Joining me today are Udo Lange, CEO and Jens Gruner-Hegge, CFO. So over to you, Udo.
Udo Lange: Yes, thank you so much, Alex. Greatly appreciated. So, of course, before I get started a very, very warm welcome to all of you who made it today. It is wonderful day in Oslo to our earnings presentation and of course, to all of you on the call as well. And I would highlight, we have a very special guest here today, our Board member, Jacob Stolt-Nielsen, so thanks for joining us as well, greatly appreciated. So today, I will begin with a review of the group’s financial results for the quarter and the full year. Jens will then cover the financial highlights before handing back to me for the divisional highlights, market outlook and a few closing remarks. Before I talk about our exceptional fourth quarter and outlook, I would like to thank our employees for the excellent work during 2023. The financial results don’t always paint the whole picture. The past few years have challenged us all and this year has been no different. We are all living in an increasingly volatile world. The ongoing situation in the Red Sea is threatening vital supply chains. And historically low water levels in the Panama Canal have also impacted shipping routes. During these challenges, I really see the quality of our Stolt-Nielsen people. They are quick to respond, diligent in assessing risks and focused on delivering value for our customers and shareholders. I’d also like to thank our thousands of loyal customers. Without their trust in us to safely handle their products, we would not be able to achieve these great results. We ended the year on a high note delivering our strongest first quarter ever, capping off excellent full year results. Our strong performance was a direct result of focused execution across all businesses and some favorable tailwinds. During the quarter, we made several important announcements relating to growth initiatives. First, we announced the signing of a new building order for 6 38,000 ton fuel-efficient stainless steel tankers. These are scheduled for delivery from 2027 onwards and are the first new build order for Stolt Tankers since 2018. Yard capacity remains very tight and we are pleased that we are able to secure these new buildings with a favorable delivery window. Second, we strengthened our position in Asia by adding 2 ships from ENEOS Ocean, the Japanese integrated energy company to our fleet in the region. Third, Stolt Sea Farm began the expansion of the sole hatchery, a key milestone in our long-term plans for increasing sole production. And finally, in December, we paid an interim dividend of $1 per share and closed the year with our balance sheet in a very strong position. Now, we will take a closer look at what happened during Q4. Amid an uncertain macro backdrop, we delivered a strong underlying performance compared to our previous quarter and the quarter – the fourth quarter of 2022. EBITDA came in at a very strong $217 million and increased compared to the third quarter. This was mainly due to higher rates both in Stolt Tankers and Stolthaven Terminals. And if you compare the fourth quarter to the same period last year, we improved 10.6%. You can clearly see our focus and executing our strategy is supported by solid market fundamentals. Thanks to the strong cash generation from our businesses. I am also very pleased to see our profitability translate to free cash flow, which increased quarter-on-quarter to $131 million, up from $124 million. Our focus on cash flow generation has helped us to deliver a healthy balance sheet and improve our net debt to EBITDA ratio. We have managed our balance sheet effectively by extending debt maturities. It is worth noting that both free cash flow and net debt to EBITDA excludes $133 million of insurance proceeds received in the first quarter relating to the MSC Flaminia legal claim. Moving to the full year picture. Our performance is very positive. It’s great to see we have everything showing green on this slide. Adjusted EBITDA was very strong compared to last year, a remarkable 21% increase. The key performance drivers for all the businesses remained favorable. Cash generation also improved as illustrated by the 12.3 increase of free cash flow to $580.2 million, up from $516.5 million last year. We continue to make progress on our sustainability ambitions. Looking specifically at our environmental progress, AER for the year decreased to 10.73 compared with 10.91 in ‘22 and we are on track to meet IMO targets and our 2030 ambition. I was really very proud when our Stolt Tankers team received a gold EcoVadis rating last month. During the quarter, several sustainability initiatives were also implemented. Stolt Tankers announced new building orders and these ships are designed to maximize fuel efficiency using modern engine design, high form optimization and feature a wide range of energy savings devices. They can also connect to shore power and be retrofitted for future battery and methanol propulsion. Stolt Tankers is although ready to comply with the EU-ETS regulations for the shipping industry. Stolt Tank Containers continues to pioneer technology. One exciting development is the online option for customers to choose a method or mode of transportation based on potential emissions and we made progress towards our safety ambitions to achieve zero harm. This is of course our top priority. We benchmark our performance and believe we are equal or even better than others in our markets. Now and I know you are always curious about that, I would like to walk you through some key areas of our 2024 outlook. We expect the chemical tanker market to benefit from strong supply demand fundamentals. On the demand side, we expect modest growth of global chemical production, while the impact of current supply chain disruptions is, of course, still unclear. On the supply side, thanks to our fleet size and flexibility, we could benefit from strong tailwinds, including the historically low order book and limited yard capacity. We are confident that all our businesses will capitalize on positive market dynamics to continue to deliver a strong performance. Overall, we have a very positive sentiment for 2024 as tanker rate is firming at a new plateau. That’s all from me now. So I’ll hand over to Jens to take you through our wonderful financial highlights. Jens, over to you.
Jens Gruner-Hegge: Thank you very much, Udo and good afternoon to everyone here in Oslo and good morning to those of you listening in from the United States. I just want to remind you as I always do that our fiscal year is slightly off. Fourth quarter began September 1 and ended November 30. Now as Udo did and different from what we have done in the years past is we are comparing now fourth quarter this year with the fourth quarter last year. So keep that in mind when I go through the changes, please. Revenue was down due to lower rates in STC and that was due to the lower transportation cost. As you might know, this is a pass-through expense. So when the transportation cost for STC goes down, we charge less revenue through to our customers. In addition, we continue to see a margin squeeze in STC as Udo will show later. This was offset by higher contractor rates in tankers, improved storage rates for terminals and higher prices for sole in particular. And that also was combined with good volume. Operating expenses were significantly down. On the back of the falling ocean freight and trucking costs and a favorable movement in the fair value adjustment of biomass at Stolt Sea Farm of about $10 million compared to the fourth quarter of ‘22. As a result, gross profit before depreciation for the quarter was $277 million, up 8% from the prior quarter but up 11% from the same quarter in the previous year. Equity income from joint ventures was up driven by improved terminal JV results and a reduction in the loss at other near LNG where we are a shareholder sitting with about 47.5%. Administrative and general expense was up by $13.6 million and keep in mind since we are now comparing with the fourth quarter of ‘22 that includes then one annual salary adjustment as well as because of improved results there is a higher accrual for profit sharing. Operating profit came in at $140 million for the quarter, that’s up from $132 million in the fourth quarter of ‘22. And interest expense was down as debt levels reduced countering the increase in interest rates. I will talk about the debt in some further detail later. Income taxes expense was $13.6 million in the quarter compared with $4.2 million in the same quarter last year and that’s due to improved profits at both Stolthaven Terminals and Stolt Sea Farm. And net profit for the quarter ended up at strong $98.4 million, with EBITDA of $216.7 million. Just briefly looking at the full year results. They were of course marked by the Flaminia provision that we took at the end of May in ‘23, but otherwise, it reflects a strong performance in Stolt Tankers, Stolthaven Terminals and Stolt Sea Farm with anticipated weakness in Stolt Tank Containers market kicking in the second half of the year. The year consequently ended at a net profit of $296.7 million, up from $280.9 million last year. Moving over to the cash flow, cash from operations was driven by strong performance as mentioned earlier, but the bulk of the improvement in the fourth quarter is due to the receipt of insurance proceeds related to Flaminia, which will be paid out later on settlement and these funds were received during October ‘23. Interest payments came down in line with a reduction in debt levels. Capital expenditures included $7 million in drydocking expenses, $19 million on terminal expansions, $37 million primarily on the purchase of tank containers as well as continued investments in Stolt Sea Farm’s production capacity. During the quarter, we repaid net $13 million in debt and note that the dividend declared and announced in this November was not paid until December 7 subsequent to the quarter and so that’s not included in these numbers. Our liquidity position was strong at the end of the quarter, but this also reflects the $133 million Flaminia insurance proceeds and cash that we are holding to pay off the balance of SNI08, the bond that matures right now in February this month. This is our debt maturity profile. And you see here the remaining balloon falling due in first quarter 2024. This will be paid with $81.5 million and we had earlier retired quite a portion of this bond when we issued the bond last September. So therefore, the lower amounts. Our next significant maturity after this will be the U.S. private placement, which matures in March of 2025. At which time it will have about $236 million outstanding. That U.S. private placement is secured by the Houston terminal. Debt during the quarter – and again, I differentiate from what I mentioned earlier about net debt, debt during the quarter was slightly up reflecting $9.7 million in capitalization of leases net of retirements. Note that new bond issue as previously reported in September and the tap issue completed at the end of November. With this, the bond SNI10 has NOK1.525 billion outstanding and this has been swapped into a total fixed obligation of approximately $144 million and carries an interest rate of about 7.8%. Looking at the CapEx, the full year 2023 CapEx spend was $228 million, including $63 million spent in the fourth quarter. And you can see that in 2024 we are projecting a significantly higher amount going up to $333 million and the tanker CapEx relates to progress payments on new building order. The bulk of the Stolthaven CapEx relates to the expansion of our Houston and New Orleans terminals, while Stolt Sea Farm CapEx relates to the growth of our sole farms in Spain. The continued strong performance of the company has translated into a good performance on our various KPIs. The top two are bank covenants. The top left is showing our debt to tangible net worth, which has been on a steadily improving trend and ended the fourth quarter at one even, that’s our lowest level I think, at least as long as I’ve been with the company. At the top right, you can see the improvement in our EBITDA to interest expense. This has been driven by the reduction in debt levels and an increase in interest rates, as mentioned earlier, while the improving EBITDA has allowed this ratio to improve to 5.9x. At the bottom right, is our EBITDA in the fourth quarter we produce our highest EBITDA for the year at the bottom left, you can then see that this strong EBITDA has translated into a net debt to EBITDA ratio of 2.48 as Udo mentioned earlier. To note that these figures exclude $133 million cash inflow that I was referring to earlier regarding the MSC Flaminia. And with this, I’d like to hand it back to Udo.
Udo Lange: Yes, thank you so much, Jens. Great financial update as always. First, as part of the divisional deep dive, we will take a look at Stolt Tankers. I would like to start by thanking Lucas and his team for the record breaking results they achieved this quarter. We also strengthening of the chemical tanker rates, during the first quarter, which resulted in higher operating revenue versus last quarter. Deepsea freight rates remained strong and COA rates stayed at historical highs. Although we saw 4.8% decrease in volumes, this was more than offset by the spot to COA ratio, which increased from 45% in Q3 to 51% in Q4. We also saw higher demurrage revenues due to improve contract terms and conditions. EBITDA increased quarter-on-quarter explained by higher STJS freight and demurrage revenues, partially offset by lower joint venture income. We also saw some higher trading expenses and higher costs for travels with the Panama Canal due to low water levels. Stolt Tankers regional fleets also continued to deliver positive results driven by pool additions. We started the key vendor renewal period with a 3.9% increase of COA renewals. But we still have more work to do in Q1. TCE rates were at $30,144 per operating day in Q4. This was an increase of 6% versus last quarter. When looking at this graph, you should note that a $1,000 per day increase in the TCE rate equates to around a $6 million change in net income per quarter. To comment on rate development, there are three key takeaways from this slide. First, as you can see from Clarkson’s Chemical Index, spot rates increased towards the end of Q4 2023. Second, the supply demand balance has resulted in rates settling on a new plateau around 50% higher than the 5-year average. And finally, based on the rates we have secured during Q1, the impact from Red Sea deviations on existing voyages and market outlook, we expect the TCA rate for the first quarter to remain flat on this high level.  Moving on to Stolthaven Terminals. Thanks to the focus of Guy and his team, the terminal business continued to deliver consistent revenue growth during the quarter, revenue was $76.8 million, 2.8% higher than the third quarter and up from $70.1 million compared to the fourth quarter of 2022. The improvement in revenue was mostly due to increases in contract rates. So first quarter operating profit of $26 million was flat compared to the third quarter and 25.3%, up versus Q3 for last year. This was mainly due to higher rates and utilization. Softer utilization was driven by the release of lower paying contracts for rate optimization, and we expect this to continue into Q1 and then recover into the rest of 2024. Our focus this year is on cost control and optimizing the balance between utilization and rate levels to drive profitability.  Now I’ll take a closer look at Stolt Tank Containers. The team under Hans leadership has done very well in the face of some headwinds this quarter. Following an exceptional performance in 2022, the market has since then returned to a more usual operating environment. During the fourth quarter, we saw 15% growth in shipments year-over-year, but a reduction in margins due to weaker market conditions. As anticipated in previous earnings calls, lower container rates and competition in all markets has placed pressure on margins, impacting revenue generated from transportation.  As port congestion has eased and there have been fewer disruptions in the supply chain, we have also experienced a decrease in demurrage revenue, as customers are no longer holding on to tanks for extended periods. These factors together have led to a decline of $34.3 million in operating revenue year-on-year to $150 million this quarter. Looking at operating costs, ocean and land freight expenses have decreased from last year’s level and our procurement teams are working diligently to secure freight space at competitive rates with our key vendors. Looking forward based on our shipment and quote trackers we believe that the transportation rates have now stabilized across most regions and are close to the 5-year average. Although we do expect some softer demurrage revenues coming into Q1 owing to customers returning tanks. Going forward, we expect profitability to be broadly in-line with Q4, or been noting that Q1 is typically a seasonally low period. Finally, I’ll give an update on Stolt Sea Farm, our sustainable aquaculture business. We saw strong demand for our products across all markets during this quarter. Volumes soared up by 14.6% compared to the first quarter of 2022. Revenue for the fourth quarter was $27 million, a significant increase from $21.3 million in the same period last. This growth was driven by higher prices supported by strong demand. Travel saw price increase of 1.2% compared to the same period last year, while average prices for sole were up by 19.7%. Our sole facilities are performing exceptionally well, with production levels continuing above expectations. Higher production levels have enabled us to spread cost increases such as energy and feed costs, helping us to maintain margin. As a result, our EBITDA excluding fair value adjustment was $5.6 million, up from $4.3 million in the first quarter of 2022. The positive demand trend has supported pricing into the Q1 ‘24 Christmas period.  Congratulations to Jordi and his team and the rest of the business on this year’s exceptional results. The business hit both record prices and production levels during 2023. So that’s what we saw during the final quarter of the year. Now let’s turn to the outlook. I’m pleased to say that ultimately the long-term fundamentals are continuing to look good for our businesses. On the demand side for our logistics businesses, we previously expressed some uncertainty around chemical production. However, during the second-half of 2023, we saw a modest increase in volumes compared to 2024 – 2022. 2024 expectations from the chemical industry are for moderate growth as inventory destocking slows and Europe starts modest production growth. More generally, seaborne trade is expected to grow at 2.7 in 2024 as the historical linkage between GDP growth and chemical demand re-emerge.  We continue to see favorable supply side dynamics. In the adjacent markets, Mr Rates finished 2023 at healthy levels and owing to the Red Sea disruption have continued to form the spot rates moving towards $40,000 a day. This dynamic is expected to keep swing tonnage out of our segment. On the new building site, as the order book increased slightly since the last quarter, is still at historically low levels. Limited available yard capacity to build chemical tankers will continue to limit fleet growth. Therefore, for the next 2 to 3 years, net supply growth is expected to be around 1% only. As mentioned earlier, the ongoing unfortunate hostilities and the Red Sea have impacted global trade. This coupled with low water levels in the Panama Canal has resulted in an unprecedented situation, where both the Panama and Suez Canals are effectively closed. The impact of rerouting via the Cape of Good Hope is a significant expansion of transit times, adding up to 40% to the distance and additional cost. No one can of course predict how long the situation will last, but our teams at Stolt Tankers and Stolt Tank Containers are working closely with customers to minimize the impact as much as possible. We expect most of the costs to be recovered on those journeys underway and the full costs are now being incorporated into billing for all new voyages. It is estimated that the increase in transit times due to rerouting will reduce chemical tanker supply by 7% to 8% globally. Although we can’t yet predict the ton-mile impact as new trade flows may emerge. Based on conversations with our customers, some are considering increasing parcel sizes or changing trade flows. For example, some exports from India and the Middle East into Europe could be sourced from the U.S. Gulf and Asia could source more products from the Middle East and India rather than the U.S. Flexibility will be key for Stolt Tankers and Stolt Tank Containers to continue to meet our customers needs and optimize earnings.  Before we move on to the Q&A, I’d like to share a few final remarks. As you have heard today, our fourth quarter results reflect the strong standing of our company and the strength of our diverse portfolio of businesses. We are very well positioned to capitalize on what we expect to be a positive outlook in 2024. While the impact of the Red Sea distribution – disruption remains unclear, we remain optimistic on the winter renewal period for Stolt Tankers. Coming back to our portfolio, I would like to thank our team for their successful execution of our strategies supported by ongoing pricing optimization, digitalization and a strong focus on operational excellence. We operate in a world of continued supply chain disruptions that reinforce the importance of having this scale and flexibility that a store needs and has to live a exceptional value for our customers. Throughout all this, we continue with disciplined capital allocation. This translates into a strong balance sheet, selective investments into long-term growth and consistent dividend payments.  Now I’d like to thank you for your attention and pass you back to Alex as we open for our Q&A section. 
Alex Ng: Thank you, Udo. First, I will go to questions on the phone line. Then the room before we turn questions to the one submitted online. [Operator Instructions] Alright first, then pass on to the teleconference operator. 
Operator: Thank you. [Operator Instructions] There is no one has lined up for questions in this call. I’ll hand it back to Alex for any questions in the room. 
Alex Ng: Great. Let’s take some questions in the room then. Anyone has a question, please raise your hand and I’ll come over and hand you the microphone.
Unidentified Analyst: My name is Peter O’Hagan [ph] analyst with ABG. A quick question on the guiding for tankers and rates into Q1. As you alluded to the MR Market looks to be very tight and tightening and the chemical tankers operates are higher. But you are guiding flat, is that is some of that due to higher cost from the Suez Canal diversion?
Udo Lange: Now, that has actually nothing to do with that. Let me maybe give you a bigger picture of what’s going on, because we of course are in a prime position. So, we have a whole portfolio of liquid logistics businesses. So, we have a tank container business, a parcel tanker business and the terminal business. And it’s really fascinating to see what’s going on right now. So, let me guide you through that because that I think will answer your question a little bit better. So, what we are seeing in the tank container business is actually the customers are using right now the tank container business in technical moves to increase their safety buffers. So, we have a higher demand volume wise on the tank container side, but it’s really tactical because there is so much insecurity in the Red Sea. So, this is a quick fix for customers to just ensure they have a better buffer. So and they do this despite the fact if you think about the rates, the rate increased on per freighters index from $1,500 to $5,000. So, despite this rate increase, this is actually going on because it’s possible to do that tactically. If you now go into the parcel tanker business, there is of course on the one hand, the tactical conversation where, okay, the Red Sea was closed, what do we do, how do we move around, when do we divert ships and so on. And there we had probably a small and we particular when we had to reposition ships in the early days. There of course is some smaller cost that we had to take in. But then going forward we really expect to recover all of our cost increases. So, that’s why that is less the issue. It’s more than what happens on the demand side. So, let me walk you through again there. What we see with customers. Because there the conversations become more strategic. So, we see this whole range of customer conversations. So, there is one customer conversation where customer says, look, I think I am thinking about, should I increase my parcel size, because I now need to go around there anyway. Maybe I put more onto the ships and then I know better what is my supply chain flow overall. That’s one conversation. There is another customer who says, look, I am not sure right now, how long will this be, I am actually just pausing. I am staying put and I don’t do anything, but maybe then when it changes a little bit, I will increase supply again. Then there is a third element where our customer says, well, there is this change around the Cape for my particular product on that particular route. It may not make even sense anymore because I can’t make money anymore. And then that leads to a forced conversation where our customers say, well, but that trade may not make sense anymore, but now completely new trade can emerge and we may be able to sell now a chemical on a trade that we couldn’t do before because that’s suddenly an attractive situation. So and we should take all these things. You need a pretty big crystal ball because it’s really customer-by-customer specific conversations. So, now as you go to the last business, the terminal business, you really know when customers made a significant change in their supply chain strategy. When you see customers come to us and say it’s the same product that I have, but I now need to buy significant more space, because I am worried about my supply chain. But we are not seeing that yet. So, we are not seeing, we are seeing basically even in summary technical moves in the tank container business, parcel tanker strategic conversations with customers, how should we do this, and of course, nobody knows how long this will last and we are not seeing any significant supply chain shift on the terminal side. But in summary it also shows, well, this is a wonderful power that we have Stolt-Nielsen and working with our customers in complex supply chain situations like this, because we on the one hand can really be a logistics – liquid logistics consultant because we see all the different streams. But on that, on the other hand, we can be a strategic partner executing against these different strategies and that that’s really the reason why we said, let’s take it flat on where we are right now because so many moving pieces, yes.
Unidentified Analyst: So, would that imply that the guiding this time around is less-sort of certain than it’s been before?
Udo Lange: I think what we are seeing right now, I think we still feel very confident that the flat rate is coming through because these are not decisions where overnight somebody says, Oh, I am stopping this now completely, or I am doing this, I am increasing that. But of course these are decisions that probably still can hit in this quarter towards maybe the end of the quarter. And so that’s why we rather say we stay where we are because that’s probably in this complex environment, the best crystal ball look that we have.
Unidentified Analyst: Okay. And if I can add on the tank container side, as you well stated now as well, ‘22 was a fantastic year with very high container rates and then also your margin expanded significantly. Now, we have seen sort of another run in those container rates, but from what you say now my impression is that we shouldn’t expect sort of any margin expansion within tank containers into Q1, even though freight rates or container rates are up in the range of 3x.
Udo Lange: So, of course the last 2 years have been an absolutely unprecedented environment in the tank container and the ocean forwarding business. So, we will not see that back because while the impact is significant is not as heavy as you had it in the past. This quarter is just a little bit different because it’s – generally Q1 is a seasonally weak quarter. So, you see how we got at the beginning of the quarter. So, basically even before the Red Sea disruption started, you could see that the rates were plateauing out, we still had – actually, our team did an exceptional job in growing volumes. But what we now are seeing is what I discussed before, customers are repositioning or they are getting more tank containers because they want to have the safety stock and buffer there. So, in addition to that, through the Red Sea, the rates, of course go up, we have very strong allocations with our customers. We have great flexibility. So, we can benefit from this scenario. But then on the other hand, we are right in front of Chinese New Year, so you see this, okay, now I have just ordered, now it’s Chinese New Year, so I am falling down of course again in the demand. And then I think what will be interesting to see how are we going to come out of Chinese New Year, how is the Red Sea situation at that point in time, we are then the rate levels and then at that time probably all the customers have more clarity. Well, what is going to be my supply chain strategy, I am going to thinking about the Red Sea will be our longer thing and then change that or am I continuing with my buffering on the tank containers. So, that’s why I would say, that’s pretty tricky because these two pieces are so strongly connected. What is my supply chain strategy that I have overall versus how do I move the tank container business. While I am still excited about what we are doing in this space is because we are growing extremely strong on volumes. We have a wonderful digitalization platform and we have driven very heavily into best showing and that of course helps us in this environment where the margins come down really drive out cost and delivery – deliver on exceptional customer service.
Unidentified Analyst: Can I, just one-final-one. On the dividends for the full year, have you – could you share some comments on what you think would be a reasonable final dividend for full ‘24?
Udo Lange: Jens?
Jens Gruner-Hegge: Well, it’s up to the Board to make that decision. As you know, we had a good year and last year we paid the $2.25 for the full year. I don’t want to say anything about what we might end up at this year. But I think we are happy with the results for 2023. We are relatively confident with the outlook for 2024 and then we will see what the Board will decide.
Unidentified Analyst: Thank you.
Udo Lange: Thank you so much.
Alex Ng: Do you have any other questions in the room? Okay. Then we go to the screens. The first we have a question to you Jens, do you think you will be considering to take up the options on the new build, for the chemical tanker, new builds options and what is your strategy on new build investments more broadly?
Jens Gruner-Hegge: So, regarding the options, we will make that decision as and when we come up to option declaration time. It is not something that we are going to rush into. And of course we will make any announcement that are relevant to the market. If you look at our fleet, everybody knows we have a fleet that is a little bit above average age. But what you might not know is also we have an excellent ship management division that are running these ships tremendously well, so much so that our customers are happy with putting their precious cargoes on our ships, even if they are approaching 30 years or beyond. And this is really kudos to the ship management team for allowing us that kind of flexibility. So, right now, what we are looking at is life extensions of ships. These are good ships that can trade for a number of more years and that also buys us time to await the situation when it comes to propulsion technology, fuel systems, etcetera. And as we did announce on the [indiscernible], new buildings, these are with prepared for methanol fuel. They have short power preparations, so they are built for what comes next. But I think for now, we are very happy with the strong position we have with our ship management team and the ability that we have to life extend and body time [ph].
Alex Ng: Again, the next question is attempts to fill a bit more into the discussion previously taken and it relates to events in the Red Sea. It’s really to see if you can elaborate a bit more Udo on tanker freight rates and contract discussions during the winter contract renewal period.
Udo Lange: So, I think I talked already a little bit about what are the different dynamics between the businesses and I know everybody is always interested and what does that mean now for spot rate and for COA. So and you could quite easily conclude and say well this environment must automatically lead to an increase in COA. So, let me give you a little bit more color because unfortunately again you don’t have the crystal ball here. So, we have customers which have of course COA with us, but there are some customers and they may be on trade routes where they have a chemical and that may not make sense anymore going forward. So, if such a customer suddenly decides, hey, you know what, I am stopping that route because it doesn’t make sense. Then our COA rate would actually go up. While you have, on the other hand, customers were like well in this environment now, I really want to secure capacity and I want to lock into a COA with you. And so we just don’t know yet how this pans out as part of the situations because it’s customer-by-customer. However, what I can tell you is having right now a 51:49 ratio is the perfect spot to be in. Because you have all this beautiful flexibility, we have the large customer come to us and say we are looking really at increasing our COA now with you. We said well, no problem. So, we can do this for you, you are a great customer for us. And so we are in this beautiful spot and so the COA to spot is really an outcome of what’s going on in the negotiations and also an outcome of which are the changes to trade overall.
Alex Ng: Thank you, Udo. Next question is for you Jens. Under admin and general expenses, costs were $13 million higher and tax costs were $10 million higher, are these one-offs or a higher trend?
Jens Gruner-Hegge: I think for the SG&A, I addressed that during the presentation, we were comparing fourth quarter this year with fourth quarter last year and that was driven by the annual increase in a higher inflation environment plus additional profit sharing rules. As for the tax that is related to improved results in our Terminal division and in Stolt Sea Farm, which was driving up the tax cost and some slightly higher tax percentages in certain jurisdictions.
Alex Ng: Thank you. And the last question we have so far, it’s probably, one for you Udo. Do you have an estimate related to the share of swing tonnage normally trading in the chemical tanker market, what is that share now?
Udo Lange: So, we of course look at that. Where we are right now, it’s just really on an extremely low level and that makes perfect sense because the MR Market is in a beautiful space right now. And so we are happy that the MR tankers stay out there. So, going into our space, the percentage is really marginal right now. And on the other hand, if you have an extremely bad market environment and knock on wood for years to come, we don’t want that, then it can change actually quite significantly. So, I think that’s probably all I want to say on that one. So, right now we are not really not at all worried about our swing tonnage coming back.
Alex Ng: Thank you, Udo. I believe that completes the questions, so Udo, back to you for closing remarks.
Udo Lange: Well, really thank all of you for coming here. And of course everybody who joined on the call, but particularly again a big, big thanks to our team across all our businesses, which is performing extremely well, but particular for the strong focus that everybody puts on safety during these very challenging times. Thank you so much.